Operator: Good day, and thank you for standing by. Welcome to the ATN International Q3 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Michele Satrowsky, Corporate Treasurer. Please go ahead.
Michele Satrowsky: Thank you, operator, and good morning, everyone. I'm joined today by Brad Martin, ATN's Chief Executive Officer; and Carlos Doglioli, ATN's Chief Financial Officer. This morning, we'll be reviewing our third quarter 2024 results and providing additional insights on the 2024 outlook. As a reminder, we announced our 2024 third quarter results yesterday afternoon after the market closed. Investors can find the earnings release and conference call slide presentation on our Investor Relations website. Our earnings release and the presentation contain certain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information for investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures, and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our website at ir.atni.com or the 8-K filing provided to the SEC. And now, I'll turn the call over to Brad.
Brad Martin: Thank you, Michele. Good morning, everyone, and thank you for joining us for our fiscal third quarter 2024 earnings conference call. We remain focused on executing our strategy to leverage our upgraded network assets and manage the business prudently, aiming to increase cash flow by margin improvements and deliver sustainable value to our shareholders and customers over the long-term. Looking at our Q3 performance is a tale of two segments, with progress in the International segment and underperformance in our U.S. operations. While there are several bright spots in the third quarter, including strong free cash flow from operations and international margin improvement driven by effective cost management, our top and bottom line performance was affected by a few key factors. These included lower levels of non-planned prepaid consumer mobility sales, slower consumer sales execution in key U.S. markets, and underperformance with enterprise in sales and delivery, specifically in Alaska. We had expected these revenue pipelines would offset more of the anticipated impact from the conclusion of the ACP and ECF government programs, but these have not transpired at the pace projected. As a result, we are updating our full year financial outlook expectations. We are taking strategic actions to align our cost structure with current revenue levels, while focusing on margin improvement in cash flow generation. These actions include advancing cost efficiency initiatives, optimizing value of our assets, and leveraging our upgraded network and offerings to maintain market share and drive customer conversion to higher value services. With that, let's take a look at our operational strategic highlights from the quarter within each segment. Starting with US Telecom, based on our underperformance related to the previously mentioned dynamics and compression in market multiples, we reported a non-cash $35 million goodwill impairment charge during the third quarter. We are assessing the best way to expand the value of the US Telecom segment, as we focus on the growth of our business, carrier and fiber fed consumer markets, while deemphasizing certain markets for consumer fixed wireless and mobility services. We believe there is significant opportunity to maximize the value of our existing and recently enhanced assets, improve our underlying cost structures and augment company funded capital investments with available government funding, such as the BEAD program, to support our return to more normalized capital spending levels. Our reimbursable capital expenditures increased significantly year-to-date in Q3. This is due in part to the start of our construction phase in the previously announced grant wins, totaling more than $280 million. These fiber-based projects will further enhance the longevity of our assets and addressable markets to deliver future value for the business. While there is more work to do in our US Telecom segment to stabilize and grow revenues and profitability, we are confident in our ability to leverage our position as a trusted partner with our carrier customers, our recently strengthened executive sales leadership and our existing fiber-based network assets to improve performance. Turning now to our International segment. While revenue remained flat, we achieved double-digit growth in adjusted EBITDA. We experienced growth in sales for consumer and business fixed customers as well as business mobility. This was offset by consumer mobility revenue declines in Guyana, primarily due to competitive headwinds impacting low ARPU prepaid customers. Operationally, we saw continued strength in our international markets with the conversion of subscribers onto our high-speed network, with high-speed data subscribers up 4% compared with last year. In international mobility, we continue to make progress in the quality of our subscriber base by transitioning customers to higher margin services, which we believe will make them more resilient. This progress is reflected in combined postpaid and prepaid plan revenue growth of 5.7% quarter-over-quarter and 28.3% year-over-year. We have now launched 5G in two of our international markets. And in Q3, 60% of our total mobility revenue came from these two new 5G capable networks. These upgrades were essential to the improvements in the quality shifts we have seen in our subscriber base. A major milestone we achieved in Q3 and an important strategic step in our evolution was the launch of our new unified brand in our largest international market. One communications was rolled out in Guyana to drive a common brand strategy and efficiencies across our Caribbean markets. We expect the centralized go-to-market approach will enable the ATN International team to further strengthen their already dominant number one or number two market positions in mobile and in fixed through common technology architecture and while continuing to improve profitability and cash flow. Before turning the call to Carlos, I want to reiterate that our priorities have not changed. We remain focused on capitalizing on our enhanced network capabilities and localized operations to capture high value revenue opportunities, all the while managing the business carefully to expand margins and improve cash flows. As we near the end of our three-year First-to-Fiber and Glass & Steel investment cycle, we are reducing capital expenditures, although we continue to fund targeted network expansions through both internal resource and government grant programs. Additionally, we remain committed to a disciplined approach to manage our balance sheet with a long-term goal of gradually reducing leverage. While we are adjusting our expectations for 2024, we remain focused on executing our long-term strategy while acting nimbly to adapt to the near term headwinds. We are committed to positioning the company for sustainable long-term growth and value creation for our shareholders. We could not achieve this without the dedicated and hard working ATN team as well as the continued trust of our customers and partners. And with that, I'll hand the call over to you, Carlos.
Carlos Doglioli: Thank you, Brad. Good morning, everyone, and thanks for joining us today. Our focus remains on managing the business with an emphasis on optimizing value, by improving cash flow and expanding margins through cost management, driving positive returns on our high quality assets. Although we faced top line headwinds, primarily in our domestic markets, there were some highlights in the quarter, most notably stronger year-over-year free cash generation from operations and improved margins in our International segment. Let's review our third quarter financial results in more detail. Total company revenue of $178.5 million was down 7% compared with the same period in 2023. The step down in revenue primarily reflects the conclusion of the Emergency Connectivity Fund and Affordable Care programs, mostly impacting the US Telecom segment, as well as a year-over-year reduction in construction revenues. Operating loss in the third quarter was $38.4 million versus operating income of $6.8 million in Q3 of 2023. The operating loss includes a non-cash $35.3 million goodwill impairment charge we took in the quarter, which reflects the current U.S. market dynamics Brad spoke about and the compression of market multiples. Q3 operating income was also impacted by $3.8 million in transaction fees related to our previously announced debt refinancing in Alaska and $2.3 million of restructuring and reorganization expenses related to the cost management efforts mentioned during our Q2 call. Net loss was $32.7 million or $2.26 per share. This compares with the prior year's net loss of $3.6 million or $0.31 per share. The difference was mostly driven by the aforementioned factors as well as an increase in interest expense. Adjusted EBITDA for the third quarter was $45.7 million, down 5% from the year ago period, primarily as a result of the decline in revenues and margins in the US Telecom segment. Looking now at the segment's performance, beginning with our International segment. Revenues of $94.3 million were essentially flat compared with the third quarter of last year, as the softness in consumer mobility revenues related to competitive pressures were offset by solid fixed revenue gains and business mobility revenue growth. Adjusted EBITDA grew to $32.2 million compared with $27.5 million in the third quarter of last year, an increase of 17.3%. This growth reflects the continued benefit from previous restructuring efforts, which we expect to favorably impact year-over-year Q4 results in the International segment. The quarter was also impacted by onetime rebranding investments we made in support of our common brand launch in Guyana as well as hurricane related costs. In our Domestic segment, third quarter revenues were $84.2 million, down 13% year-over-year, primarily due to the conclusion of the ECF and ACP government programs as well as a reduction in construction revenues. Adjusted EBITDA for the Domestic segment was $17.7 million, down 34.1% compared with the prior year, primarily due to the revenue related headwinds and higher direct costs. Moving onto the balance sheet and cash flow highlights. We ended the quarter with a net debt ratio of 2.39 times on total debt outstanding of $561 million. Our net cash provided by operating activities was strong at $97.4 million for the first nine months of 2024, up from the $89.5 million in the prior year period. This was driven primarily by our efforts to improve our working capital position through attention to cash collection cycles. The transaction related fees I mentioned earlier are associated with the August refinancing of our Alaska facility. The market conditions allowed us to increase our availability and extend the maturity through 2029. Turning now to capital expenditures. CapEx during the first nine months of the year totaled $85.7 million, net of $71.8 million of reimbursable capital expenditures. This compares with $126.6 million, net of $14.3 million in reimbursable capital expenditures in the prior year. It is important to point out that, as you can see from the numbers, we continue to see government support as an important component in the enhancement of our infrastructure in the rural U.S. During Q3, we returned capital to our shareholders through $3.6 million in dividends. With that, let's move to our guidance for the remainder of 2024. Today, we are updating our outlook for full year 2024 to reflect current expectations for near term operating performance. Revenues for the full year are now expected in the range of $720 million to $730 million, compared with our previous range of $730 million to $750 million. Adjusted EBITDA is now expected in the range of $182 million to $188 million for the full year compared with our previous range of $190 million to $200 million. We continue to expect capital expenditures in the range of $100 million to $110 million, net of reimbursed amounts. And with the revised adjusted EBITDA expectations, we now expect to exit the year with a net debt ratio of 2.3 to 2.6 times. We continue to monitor the net debt ratio with the objective to bring down leverage closer to 2 times over the medium term. In conclusion, we continue to see positive momentum in our international business. We believe the business is solid and well-positioned to recover from the competitive dynamics experienced in the past two quarters. In the U.S., we remain focused on driving margin and cash flow improvement as we navigate headwinds. We are confident we are taking the appropriate strategic actions to solidify our execution in the U.S. market and adapt the business to the evolving market environment. Thank you again for your time today, and we look forward to updating you on our progress in the coming months. I'll now hand the call back over to Brad.
Brad Martin: Thanks, Carlos. We are confident that our strategy will enable ATN to deliver value to our shareholders, employees, customers, partners and local communities for the long-term. Our upgraded and expanded footprint, skilled team and dedication to our mission empower us to provide essential connectivity to our customers, expand in our markets and achieve profitable growth, increase cash flow and value creation for our shareholders. With that, operator, we'd like to open it up for questions.
Operator: Thank you so much. At this time, we will conduct the question-and-answer session [Operator Instructions] Our first question comes from the line of Ric Prentiss with Raymond James. Your line is now open.
Ric Prentiss: Thanks. Good morning, everybody.
Brad Martin: Morning, Ric.
Ric Prentiss: Obviously, a tough quarter on the US Telecom side. You mentioned addressing margins on that side. Should we think that there's -- is this like forced cuts, so we're going to see a kind of a restructuring charge coming? Or what kind of timeframe does it take to kind of address and right size the costs given the revenues haven't really replaced the ACP and the ECF programs?
Carlos Doglioli: Hey, Ric. This is Carlos. I'll take this one. Thanks for the question. As we talked about it in Q2, and we reiterate a little bit this quarter, some of the efforts that we have been pursuing across the different segments are already kind of reflecting into the numbers. You saw some of the restructuring and reorganization charges, some efforts that are related to the U.S. segment are embedded there. And some of the benefits that we did in International as well, you saw them flowing through the numbers as well. In terms of some of the more structural changes that we are pursuing, those naturally take a little more time and we expect to see more of those benefits into 2025 and beyond. So that's kind of the process we're pursuing.
Ric Prentiss: Okay. And then, I think, we continue to kind of see a deemphasis of fixed wireless and mobility. Spectrum is certainly an asset. We've seen UScellular propose a sale of a third of its spectrum to T-Mobile in that merger. There was the announcement of Verizon buying -- proposing to buy a significant chunk of low band spectrum from USM. How should we think about your spectrum position? Is that something that might be an asset to monetize? And ballpark wise, I think we had you guys down at somewhere north of 100 million megahertz Pops. Maybe just talk a little bit about the spectrum asset.
Brad Martin: So, Ric, yeah, so spectrum certainly has been a key piece of our business within our U.S. market being a legacy mobile operator. We are always looking at opportunities and how we can take advantage of non-strategic assets. We talked about a deal last quarter, a small deal for spectrum divestiture. So, it's something that we're always looking at how do we extract the highest value from. We obviously are still using spectrum for certain service lines. But certainly, the exit of our retail mobility, which is something that is in process as we speak, will certainly be something that we look at and something that we are always looking at how we can optimize that particular asset base.
Ric Prentiss: Is there a way to kind of size how much spectrum you have, or how much might be non-core, not supporting of? Is there some way to kind of ballpark goalpost on it?
Brad Martin: No, not directly, Ric. That's an evolving dynamic. So that's not something we have here.
Ric Prentiss: Okay. And Carlos, you mentioned that the construction revenues were down year-over-year. It's a fairly low margin business. But how should we think about FirstNet or other construction projects as far as what's left to go the rest of this year and as we look into '25?
Carlos Doglioli: I think at this point, Ric, we have approximately $8 million of remaining revenues there. But given some of the public -- publicly known dynamics with some of the equipment choices, et cetera, that are impacting the timing, we see most of that coming in 2025.
Ric Prentiss: Okay. And on the International front -- one more on the U.S. side. You mentioned a sales leadership change. What does that person bring to the table or persons that you're looking for them to change? What's kind of the top mission for the new sales leadership?
Brad Martin: Yeah. So, Ric, I mentioned in my prepared remarks, I mean, we have had some challenges with execution on both delivery and pipeline conversion. So, we are really looking for -- and we have multiple new positions filled around enterprise and carrier sales. So that's an area of driving disciplined process, driving disciplined pipeline management in a very mature enterprise market. So, we are bringing in new resourcing to help enhance our overall capacity and capability to deliver.
Ric Prentiss: And last one for me. I think you mentioned on the International front that -- this is part of it, but there could be some beneficial items coming into 4Q versus 3Q, because you had some hurricane costs and some rebranding costs. Can you help us kind of size what kind of improvements we might see in 4Q versus 3Q on the International side?
Carlos Doglioli: I would say, Ric, the way we think about it is there were over $1 million of expenses related to some of the quarter specific items that we mentioned during our remarks. But in terms of the Q4, we don't specifically give guidance on segment-by-segment and quarter-by-quarter. But certainly the numbers, you see that there's been benefits from some of the efforts that we pursued and those are included in the guidance.
Ric Prentiss: Okay. Very good. Thanks.
Operator: Thank you so much. One moment for our next question. Our next question comes from the line of Greg Burns with Sidoti. Your line is now open.
Gregory Burns: Morning. In the U.S., how would you, I guess, characterize the demand environment relative to maybe where you thought it was six to 12 months ago? Because I'm just trying to kind of maybe better understand how much of this is just execution on your part or maybe -- versus maybe a shift in the market dynamics, which you weren't expecting where maybe competitors are getting more competitive on pricing or offering or whatnot?
Brad Martin: Yeah. So, really, I think there's -- to distinguish between the two key areas, consumer and enterprise, there are, again, very different dynamics happening in those markets. So, on the -- so maybe on the enterprise care and wholesale, a lot of the -- we do see strong demand, and that is something -- a lot of the delays that we've had or misses that we've had have been more on delayed deals, has not necessarily been -- the majority is certainly on delayed deals, not necessarily lost deals. We obviously have had some lost deals. But we do see the demand for broadband services on the wholesale side continuing to grow. So that's something that is encouraging for the business moving forward. On the consumer side, Greg, there are a lot of dynamics and I'll specifically speak to the Southwest, where we had the larger -- largest impact on the ACP shutdown. That is -- there are a lot -- a couple of dynamics. One, we are -- we have been in the process of deemphasizing and shutting down some of our legacy fixed wireless broadband service areas. Part of that is due to R&R. Part of that is just due to the remote nature and the profitability of certain sites. So that has been a unique focus for us to rationalize where we have network and rationalize operations. From a competitive market, it has changed. The fixed wireless access progress you see from the major carriers, that is a product set that is a new competitive dynamic as they overbuild. A dynamic for us is we actually get to participate in that, because we sell through our carrier managed services to those carriers. So, we provide backhaul, tower lease that flows through our enterprise and carrier lines of service. So that's an area where we are trying to focus where we have what we consider next-gen fixed wireless technology. This is north of 100 megabit to 500 megabit to gigabit style solutions. We think those are very competitive with the MNO fixed wireless service offerings. So, when we talk about refocusing our efforts, it's where we have superior technology, because it's very difficult to compete with inferior technology against the quality of those brands, if that makes sense.
Gregory Burns: Got it. Yeah. Yeah. And then, I guess, maybe this -- some of what you just said kind of leads to my next question. But I just want to understand the dynamic between -- I see the high-speed data subscribers are growing, but total broadband subscribers are declining. So, is that due to this dynamic of network optimization?
Brad Martin: That's exactly it. Yes, we have -- it's a combination not only of fixed wireless network rationalization, but even fixed. We have legacy copper network that has been shutting down as we have built -- overbuilt with fiber in some of our markets.
Gregory Burns: Okay. Thank you.
Operator: Thank you so much. [Operator Instructions] All right. Our next question comes from the line of Hamed Khorsand with BWS Financial. Your line is now open.
Hamed Khorsand: Hey, good morning. Just some follow-up here. I think all year, you've been talking about this loss of the ECF and ACP programs. So, if you could just help me understand why that impact that you've been talking about all year, now all of a sudden is, you weren't ready for subscriber losses and the softness in consumer.
Brad Martin: So, Hamed, yeah, so maybe distinguish between the two programs. So, ECF was a program that went away earlier this year. We spoke about the failure to fill that pipeline, to backfill that pipeline on some deals in one of our markets. So that has been -- the ability to backfill -- that pipeline is one of the dynamics we've been working towards all year. So that's to distinguish between ACP. ACP, generally, we have -- from a subscriber -- maintenance of subscriber base through that transition actually roughly came in line with our expectations. A dynamic with ACP that we did not predict our largest market, which is in the Southwest of ACP subscribers, which lost about 28% of their consumer subscriber base. We were projecting keeping about -- losing about 30%. So, we actually did a little better than we had planned. What we did not plan for was the amount of work required to retain those customers. There was a four-month period where we were out, reaching out to every customer renewing them and that had an impact on the ability to sell new. So that was something that we did not foresee as impactful in one of our Southwest markets. So that's the distinction between ACP and ECF. But they were ultimately big programs. ACP was really announced after the start of the year. ECF, we knew about late last year. So that was something we were planning for. And that is still a dynamic of filling that significant pipeline, both revenue and EBITDA is something that we're working towards.
Hamed Khorsand: Okay. And then specifically to Alaska, do you feel like the market is just too mature and saturated with competition to win more enterprise customers there?
Brad Martin: No, we don't. The market dynamics are market dynamics that we like. We've got really great assets in that market. We've got great relationships in that market. So, we don't see that as the challenge. We see the challenge as some execution challenges. Delivery delays has been a big dynamic that has been a challenge in that market. And that's been the biggest impact on the performance to date and through the forecasted year.
Hamed Khorsand: Okay. And my last question is on Guyana. You I remember talking about the restrategizing your approach to mobile there. Is it still a focus on postpaid, or are you just focusing more on higher ARPU kind of subscribers?
Brad Martin: Yeah. So, the focus in that market is continuing to upgrade the customer base to higher services and the primary focus is data. So, we talk about plan-based revenue. These are data plan customers that are getting a component of data along with their voice, and that's where we've seen significant growth in the last year. So, we are seeing the quality, and importantly, we're seeing the consumption of data. For a market like Guyana, that's a really important dynamic. We're seeing the consumption of data in Guyana really going up. That is where I think we're very well-positioned with the quality of the network we've delivered there. And broadly, the demand for ubiquitous data access is a very good market dynamic that we're happy seeing the results. What we are continuing to lose are very low ARPU voice customers to a new competitor in that market. And that's something that is -- we do think that, that will -- the impact of that will start to limit as we get into '25, but ultimately, that's the dynamic that we're fighting. And I think ultimately, we believe that data consumption trend is a great trend for us.
Hamed Khorsand: Okay. Thank you.
Operator: Thank you so much. I'm showing no further questions at this time. I would now like to turn the call back over to Brad Martin for closing remarks.
End of Q&A:
Brad Martin: Thank you, operator. Thank you all for joining us today. We look forward to speaking with many of you in the months ahead. Thank you again for your time. Have a good day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.